Operator:
Paul Ziots:
Pat Gelsinger:
Carl Eschenbach:
Jonathan Chadwick:
Paul Ziots:
Operator: 
Adam Holt - Morgan Stanley:
Jonathan Chadwick:
Adam Holt - Morgan Stanley:
Jonathan Chadwick:
Operator:
Sonya Banerjee – Goldman Sachs:
Jonathan Chadwick:
Carl Eschenbach:
Operator:
Kash Rangan – Merrill Lynch:
Pat Gelsinger:
Kash Rangan – Merrill Lynch:
Carl Eschenbach:
Operator:
John DiFucci - JPMorgan:
Pat Gelsinger:
John DiFucci - JPMorgan:
Carl Eschenbach:
John DiFucci - JPMorgan:
Carl Eschenbach:
Operator:
Stephen Patel - ISI Group:
Pat Gelsinger:
Carl Eschenbach:
Operator:
Brent Thill – UBS:
Carl Eschenbach:
Operator:
Philip Winslow – Credit Suisse:
Carl Eschenbach:
Operator:
Walter Pritchard - Citigroup:
Carl Eschenbach:
Pat Gelsinger:
Walter Pritchard - Citigroup:
Jonathan Chadwick:
Operator:
Emily Chan - Sanford Bernstein:
Carl Eschenbach:
Pat Gelsinger:
Carl Eschenbach:
Paul Ziots:
Pat Gelsinger: